Paul C. Reilly: Okay, good morning. Jennifer, are we live here?
Operator: Yes, you're live, sir.
Paul C. Reilly: Okay. Thank you. This is Paul Reilly in Raymond James. I'm going to turn over to Paul Matecki to read our FD disclosure.
Paul Louis Matecki: Thanks, Paul. To the extent that Raymond James makes forward-looking statements regarding management expectations, strategic objectives, business prospects, anticipated expense savings, financial results, anticipated results of litigation or regulatory proceedings and other similar matters, a variety of factors, many of which are beyond Raymond James' control, could cause actual results and experiences to differ materially from the expectations and objectives expressed in these statements. These factors are described in Raymond James' 2011 annual report on Form 10-K, which is available at raymondjames.com or sec.gov. In addition to those factors, in connection with the Morgan Keegan transaction, the following factors, among others, could possibly cause actual results to differ materially from forward-looking or historical performance. These include difficulty integrating Raymond James and Morgan Keegan's businesses, or realizing the projected benefits of the transaction; the inability to sustain revenue in earnings growth; changes in capital markets; and diversion of management time on the transaction related issues.
Paul C. Reilly: Thank you, Paul, and what a rousing way to start a conference call with a good FD disclosure. We're going to go through, I guess, step by step in the conference call to make sure we understand the pieces and talk a little bit about the quarter and kind of the non-GAAP adjustments and how I think the basic operating business is doing and go through the segments. Jeff will then go through a little more detail in some of the other things, and then we'll get into the Morgan Keegan combination, which I know a number of you have questions about. First, I really believe we had a strong quarter in an improving environment. Our net revenues up 11% at $871 million plus and our non-GAAP pretax earnings up 22%. Now we are doing that off a weaker December ending quarter and if you go again to a year ago, we are comparing -- we're up only 3% or 2% of the net revenues that are very, very strong quarter, if we can remember the markets a year ago that we're comparing to. But certainly, a very, very solid trend, really driven by rising asset values are a strong equity market. Our assets under administration were up 8% and had a record of $292 billion and this is again without any Morgan Keegan numbers we closed after the quarter ended, and our assets under management up 11% at $39 billion. So on the basis of that as you know, we bill a lot of assets in advance. We've started with tailwinds in that quarter and again with the S&P up 12% this quarter should portend well to a strong start to our next quarter. Starting with the Private Client Group. The second quarter was really driven by those asset values, and again with the tailwinds in our billings, we had record productivity per advisor at $361 million at RJFS and $540,000 -- I'm sorry, I wish it was million, $361,000 at RJFS and $546,000 at Raymond James Associates, our employee division. We also had a net increase of 42 advisors. As recruiting continues to ramp up, one of the slight concerns when we announced the Morgan Keegan acquisition, we felt that recruiting was taking up the impact. We were worried about an impact. There's been no negative impact and I think, as we talk to recruit the positive impact that we're growing the business and the backlog of home office visits continues to improve. So as we go into the third quarter with an S&P up again and more advisers, we should be off to a good start. The revenue growth there was offset by comp expense, some of that was additional personnel, but a big chunk of that is what I call seasonal, if you can use that word. The first quarter, our raises hit, starting in January, our FICA payments and taxes start over so we always have a first quarter impact on comp. The other areas we've told -- we talked about before as we have been ramping up our technology expenditures. We've got some very exciting technology rolling out, including a new advisers desktop starting in May, and it's a strategic investment we've made across the firm and that did have some impact on the numbers for the quarter. In the capital markets area, ECM had a big recovery, really since, again, against a very weak December quarter. We can number what happened at the end of last year the markets, starting that September, really shut down. The underwriting part of our business in IPO was slow in January and February as it was in the quarter, but really picked up in March and has continued up stronger in April and who knows what happens day-to-day in that business. But if you look to the -- commissions were up, underwriting revenues were up versus last quarter, but M&A activity was down slightly. So again, improving significantly from a very weak market the quarter before, but certainly not at the levels that we were a year ago, where we had a strong equity capital markets. Moving to fixed income. Fixed income has been kind of a steady producer for us, with the announcement of Morgan Keegan. I think people had some concerns but again, we're showing a strengthening -- slight strengthening through the quarter for fixed income and trading profits and commissions. So business is performing very, very well. Asset Management, again, it's kind of our Steady Eddy business. Assets were up both from market appreciation, as we've talked about earlier, and continued net inflows. So off the back of a 4% increase in the revenue side. We had a 5% increase in profits and again the markets coming in should portend well for a good start this quarter. The bank had outstanding performance for the quarter, record earnings, basically 2 factors here. We've continued to grow loans, as you remember, $400 million of that was the Allied Irish Bank loan portfolio that we did finally close on that drove significant loan growth, as well as other loan growth. As you can see through this year, we've had good loan growth and improving credit. If you look at the loan loss provision there almost all of it was attributed to the Allied Irish Bank acquisition. So we've had strong credit metrics and improvements and pay off of loans that have continued to, I think, show improving credit performance of the bank. What I'm really proud at, I think we had solid operating performance, but this is all accomplished while we were working on the Morgan Keegan integration. So people were doing their day job and the other job and when we get into the acquisition expenses, you're going to see that those costs are really only adjusted for direct costs of that acquisition and acquisition planning and it doesn't include the massive amounts of people time and other efforts that are going focused to integrate Morgan Keegan, which I'll get to that one in a minute, but that has gone extremely well. We've got a lot of work to do. We can't declare victory yet, as I said in the release, but we're very pleased with where we are to date. Moving into the -- projecting into the third quarter based on the S&P up and improved ECM environments, net recruiting and a strong loan book at the bank and good credit, I think, portends positively to third quarter and we've also have to add the small factor of Morgan Keegan combination as we report next quarter. So with that, I'll turn it over to Jeff Julien to give you a little more color. Jeff?
Jeffrey Paul Julien: Thanks, Paul. I just want to reiterate that we had a whole host of records this quarter. I think that's important to note going into the second half of the year. We had both record gross in net revenues, record Private Client Group revenues, record Private Client Group average productivity, record assets under administration, record assets under management, record bank pretax earnings for the quarter, and although this one's a little bit out there, if you use a non-GAAP section of our release, that's actually a record pretax income number for a quarter for us.
Paul C. Reilly: Non-GAAP record pretax.
Jeffrey Paul Julien: Paul said, if we pick the right expenses to exclude, we can get a lot of records every quarter. A couple of other comments I'll make to augment Paul's description of what happened in the segments. We had a nice jump in book value. I'm sure you noticed it's amazing what can happen when you do an offering at 1.5x book value during the quarter. So that was somewhat as expected. Tangible book value did not see quite the same increase. Our shareholders equity now exceeds $3 billion. It's nice not to had have to explain the tax rate for the quarter. I'm mentioning it, but just to say I don't have to say anything about it. It was about 38.25% for this quarter and 38.75% for the year to date, which is about where it should be. We got some benefit from the appreciation in COLI but as I point out in prior periods, it's offset by some of the nondeductible meals and entertainment and other things that hit our books. These rates are about where it should be in a normalized environment on a year-to-date basis. We talked about the $19.6 million of hard acquisition expenses in the non-GAAP measure. That's the line item that you see in the P&L. To that, when we did our non-GAAP presentation, we also included about $1.7 million of interest expense, which is in interest expense, not in that $19.6 million, which relate to the debt offerings that we did ahead of time prior to the actual acquisition. And we also factored in about 3% dilution from the share offering that we did in mid-February in anticipation of the acquisition. Those things all added together came up with that $0.12 impact related to the Morgan Keegan acquisition. The ROE for the quarter, as reported, was 9.62%, again on a non-GAAP basis, so that would be about 12.2%. And on a year-to-date basis, it was 9.83% reported, again on a non-GAAP, excluding those costs what we'll call operating -- core operating earnings was about 11.25% that's year to date. I think the surprises for the quarter relative to what was projected and I've read some of your comments this morning. The bank loan loss provision I think was a surprise, it was the Allied Irish portfolio shrunk from the time we initially started talking to them to the time we consummated the transaction. So our provision for that originally started at somewhere around $7 million, ended up only being about $5 million. But the rest of the entire bank's portfolio on a net basis was really yielded no provision expense for the quarter. We had some net growth, which there was some provision expense for, but we also had a lot of credit improvements, payoffs, pay downs, things like that, that had the opposite effect. So it was basically a net neutral other than the Allied Irish acquisition, which I think was a surprise maybe even a little bit to us, that it was at that level for the quarter. Obviously, the net interest margin at the bank held up a little better than, at least I expected, early on in the quarter thus net interest earnings a little better. Again, we had some of these payoffs, pay downs, which yielded fees but we also have, adding the Allied Irish in at a fairly high average coupon certainly helps the net interest margin as well. So that will maybe be a little higher going forward than it has been in the past. Another surprise I think you all pointed to other revenues. Well if you look at our segment basis that's really in the Proprietary Capital segment. We had a fairly significant writeups and distributions received from some of the private equity funds in this quarter. That's a lumpy number, very, very hard for us to predict. As you all point out, usually it's a June quarter event as we get the audited statements for all the smaller ones that we're invested in, but there are these larger ones that, some of which we even consolidate, that we mark on a quarterly basis and that's what happened this quarter. Now not much of that, as you can see in the segment results fell to the bottom line. We do consolidate one fund in particular that we have about a 14% net interest in. So a lot of that comes out to a minority interest, but it did impact the revenue line. I'd also want to make a comment on the number of lead managed deals. If you've been tracking that from our monthly operating statistics to now, it looks like we had one deal in the March month. Well that obviously wasn't true. I think you know how active it was. We made the decision at the end of the quarter here to exclude from that total, the RJF offerings, which we were a joint book runner on, all 3 of them, to debt on equity, but we didn't think it appropriate to include those. We also made the decision to exclude some of these at-the-market deals. These continuous offerings, there were about 5 of those during in the quarter. So March was much more active than it appears. It was the monthly operating statistics that included those things that I mentioned that we have now excluded at the final count here for the quarter. I'll make a couple of comments on the year-to-date segment information on the press release. As you can see, again, we're comparing against a very good 6 months a year ago and then looking forward last year, you know we ended up with a record year last year, while the June quarter last year had a $45 million pretax charge for ARS in it for starters, but then we also had a very difficult capital markets environment in the fourth quarter last year. So the first half of last year was much better than the second half. While we've just about equaled that first half this year, we're about dead on in terms of net -- in terms of total revenues. We're a little bit behind even excluding the acquisition related expenses. We're a little bit behind in total pretax income, but again -- so if you look at it on a big picture basis, we're just a little bit behind where we were on an earnings basis this time last year and we had all these negative impacts in the second half of last year. So that should give us some optimism looking into the second half of this year. In terms of the earnings, you can see for the 6 months Private Client Group's about 6% behind where they were a year ago. Paul mentioned some of the factors in our methodology, the most of operations in IT was parts that aren't allocated to other segments end up in the Private Client Group segment and IT expenditures and people have been a large factor in Private Client Group not surpassing the prior year, yet. Capital markets, we talked about. Last year's first 6 months was a strongest period we'd had in sometime. So that's going to be a tough comparison and it really is all Equity Capital Markets this shortfall from versus the prior year fixed income slightly ahead of where they were on a year-to-date basis last year. Asset Management stuff, as you would expect, modestly. We expect again some sequential improvement. As you've heard, we're at the asset level. So you see where the asset level started the third quarter and then the bank is eclipsing all records here both from an earnings and a credit perspective. So we go into the second half, I think, with some optimism. The last thing I'll mention is on the other segment, you can see that there's all of the acquisition related expenses, even though they've been incurred by all the segments, we're putting them all in the other segment for convenience. So that entire $20 million is down there in the other segment and the other thing impacting that of course, is the additional corporate interest from our April offering a year ago, as well as the $1.7 million that I mentioned from the offerings we did in anticipation of the acquisition. So a lot of facts and figures, but at the end of the day, I think a good quarter and I know that we need to talk a little bit more about what to expect from acquisition related expenses going forward. So for that, I'll turn it back over to Paul.
Paul C. Reilly: Thank you. So I think you know if you look at the operating statistics, I'm kind of proud of the organization as they've taken on their day job of running their business and the other day job of planning on the integration now well into the integration. It's great to have solid operating results going in. And I think we're starting -- certainly it started the quarter with tailwinds, but it's been an interesting market the last few years. So we're not putting anything in the bank. Jeff read a lot of records off to start with, but I'm sure we'll have records next quarter just because of the combination then the important thing's is going to be how we do on the bottom line in our earnings per share, which as we've said, we didn't expect this transaction to be immediately accretive but believe strategically it will be accretive and very, very strong. I do want to note, as I get into the MK acquisition, net-net, we're ahead on retention and we're behind -- we're doing better on our budget of costs slightly.
Jeffrey Paul Julien: Ahead meaning we've spent a little less than we've planned.
Paul C. Reilly: Ahead on retention in terms of percentage of people we've retained. We've had less overlap than we thought in some of the businesses, so we severed a little less, although it's a big number. And you have to remember too, that our MK acquisition, the numbers were based on market conditions in December. We use the December trailing 12, so part of the purchase price adjustment you saw was strong performance at Morgan Keegan. We haven't audited them and we can't give you those numbers. But in the first quarter -- so a lot of the trends that impacted us or impacting them, I can't take this -- it's a little bit of a different business, but we've got some room because of that, if we can keep the people, which is the focus, because the improved conditions in the quarter for them also. We are ahead of retention, as we said. Of those we made offers to in PCG and retention, we've had 98% of them still here at the quarter, and so we've done better in the retention side than we assumed. But we know we'll lose a few more advisors. We don't want to. It's just right so far to date, it's been a smattering 1 or 2 here, no particular direction and just a handful of regrettable losses. But in this market we've always had some given the checks that are put out, but we are ahead of our retention estimates to date and our job over the next year is to make sure that we make people feel at home. So we've done very, very well there. Fixed income, similarly we had less overlap, so although severance numbers, as we talk about as we look forward are significant across the organization, there was less in fixed income and our revenue per producer has been growing there also. So we're hopeful, but we expect more fallout, as you merge accounts and move accounts around, you do lose some sales and trading folks. But again, so far to date, we're ahead of our own budgets and estimates but we don't think that that's done yet and we'll watch closely over this next couple of quarters. Our retention expenses that we've spent are below our estimates, mainly on the capital market side of the business. We've spent less in our issues totally than we originally projected in estimates. We're about slightly below, but above on our projections on the PCG Group. So we feel good about those too. But this is all early. We have -- we know the combinations here. We are, we have fixed income trading off one group of inventories. We have Equity Capital Markets basically all consolidated into the RJA business and the PCG, we're operating dual systems but utilizing marketing, branding, a lot of other things and trying to use all of our resources, marketing, research and everything we can help them during this transition period before we make a systems change over. So, so far so good, but a lot of work ahead of us. So we're optimistic, but know we have a lot of things to do. With that, Jeff, I don't know if you want to make anymore particular comments?
Jeffrey Paul Julien: It's hard for us to really accurately project where we're going to be on these future acquisition-related costs. We had originally projected I think $70 million for the fiscal year. The interest will stop now, so it's going to be just the remaining severance related costs and other integration costs that come up for the rest of the year. And we don't have a great handle on that because it's going to be a continuing, evolving number. But I guess if we had to give you a projection for the rest of the fiscal year it'd probably be in the $40 million range plus the $20 million we've already spent gives us $60 million, which will probably come in a little under the $70 million we originally projected. But that's one of these things kind of swallowed up in Paul's forward-looking comments earlier. Paul Matecki, our counsel.
Paul Louis Matecki: There's a good chunk that we've incurred in -- that we'll incur in this quarter especially severance. But as we've told you, we've been deliberate in terms of the integration, going step-by-step and keeping support levels up. But so far so good, the market continues to be reasonably solid. I think the basic business is in good shape and we're focusing on working hard in retentions and no red flags yet on the integration, just a lot of work ahead of us. So with that, I'm going to go ahead and open it up for questions. I'm sure you have a number of them today. And -- so Jennifer, why don't you go ahead and ask for questions.
Operator: [Operator Instructions] Your first question will come from Joel Jeffrey.
Joel Jeffrey: Just a question. On Morgan Keegan, in terms of their fee-based assets and the additions that you'll get from that deal, did they -- can you give us what the level was at the end of the quarter? And do they typically sort of price off at quarter end levels as well?
Jeffrey Paul Julien: We're thinking how to answer that one.
Paul C. Reilly: We're going through the process actually now and again, not having -- we're just finishing kind of the opening audit and balance sheet, so that's why there's a little bit of hesitance here on the numbers. They have more of a stock brokerage business than an asset management sized, a little less fee-based. So we just don't want to give you a number that's not totally accurate yet. That's the only hesitation.
Jeffrey Paul Julien: You know they've got $70 billion in retail assets that will be coming over. It'll be on our books. It won't be coming over until next year sometime. But of that, I think -- we think the numbers, just in terms of wrapped fee, we should have a better handle on that, I guess, and we do. It's something around $8 billion is the number we've been told. They're going to make sure they pick up outside discretionary as well as our equivalent nondiscretionary to make sure we get the total correct, not near the percentage that we've got, where we've got 1/3 of our client assets in wrapped fee-type arrangements over $90 billion, including discretionary and nondiscretionary. Their number's between 10% and 15%.
Joel Jeffrey: And do those typically price off quarter end levels?
Jeffrey Paul Julien: I believe they're quarterly in advance like -- it's sort of the industry norm.
Joel Jeffrey: Okay. And then in terms of the capital markets revenues, can you just give us a breakdown in terms of -- on the institutional side, what the equity commission line was versus the fixed income institutional line?
Paul C. Reilly: Do we have it here?
Jeffrey Paul Julien: For the quarter, you're talking about?
Joel Jeffrey: Yes.
Paul C. Reilly: What were you asking? An absolute number?
Joel Jeffrey: Yes. Just the level of revenues generated by institution against traditional fixed income business versus the institutional equities business.
Jeffrey Paul Julien: They're about equal at about $36 million each for the quarter.
Joel Jeffrey: Okay, great. And then I guess just lastly, in terms of -- you guys sound like you had some solid growth at the bank outside the Allied Irish deal. How should we think about loan growth going forward and sort of what you're focusing on there?
Steven M. Raney: Joel, it's Steve. I would anticipate it's growth going forward kind of in the 6% to 7% on an annual basis for the next couple of years. We think that this quarter, growth would be maybe $150 million to $200 million in the loan portfolio. The one item that will be a little unique is, and we don't anticipate it closing this quarter, we anticipate it being in the September quarter but we're working on a plan to purchase the securities face loans from Regions Bank that were referred by Morgan Keegan Financial Advisers. That's about $200 million. So add of that, I think that kind of a good forecast fee to use would be loan growth in the 6% to 7% per year for the next couple of years.
Joel Jeffrey: So that would be inclusive of the growth you've already experienced this year?
Steven M. Raney: Well really, no. I would say, going forward, I would say, obviously the Canadian portfolio that was acquired this quarter and then we had a very robust quarter in the December quarter. So that was really higher than that forecast I'm giving you going forward. I think you're going to see some more temperate growth going forward kind of in the 6% to 7% range.
Joel Jeffrey: And in terms of the types of loans, are they the similar sort of the commercial type loans?
Steven M. Raney: Yes, I mean we're trying to grow our residential portfolio as well, which typically has lower reserves on it compared to the corporate portfolio, but I would say that the asset mix going forward, it'll be roughly equal to what the current mix is. It may be slightly more heavily skewed towards corporate, which would have more reserves associated with it.
Paul C. Reilly: Joel, before you go, let me correct what we said. I gave you the domestic numbers only. When we add Canada and some of the international operations, x total equity institutional commissions are about $56 million, fixed income is $36 million.
Operator: The next question is from Chris Harris.
Christopher Harris: So a really record quarter in Private Client. You guys talked about that, great metrics, great production we're seeing there in that business. I'm really wondering how we can reconcile that strong performance relative to, I guess, some of the other indicators we're seeing that suggests volumes really haven't picked up and referencing kind of trading volumes, trading activity, exchange volumes, margin borrowing looks like it's coming down, retail funds originally not all that robust either. So just wondering if you guys could help us think about that, how your advisers and clients continue to stay active relative to what we're seeing in the market.
Paul C. Reilly: Yes. We've got a strong fee-based billing business. And so as the markets go up, it really drives our commissions more than anything, more than the trading volume. So we've continued to push our advisers for years to be in the fee-based business to be on the side of the clients so in down markets we get downdraft and in up markets, we get updrafts and that's really driving the business and driving the numbers in PCG, as well as our increasing productivity, which is market and asset gathering driven and net recruiting so...
Jeffrey Paul Julien: If you look at the commission line in Private Client Group, commission and fee line, more than 60% of it is fee-based, recurring revenues. Fee-based meaning that includes things that are time-based as opposed to transaction-based. As that sort of differentiates us, I think, from some of the other Private Client Group comparables.
Christopher Harris: Okay, got it. And then on the NIM, nice increase in the quarter, you mentioned. I'm just wondering how much of that is related to the allied transactions? In other words, if you backed out that deal what would NIM have been in the quarter?
Steven M. Raney: Yes, Chris, we had one month impact of the Canadian loans, there was some extraordinary pay downs in that portfolio even in the 1 month that we had it, which had an impact. That portfolio has NIM in the 8% range going forward. So that's going to have more impact this quarter because we're going to have the full -- the full impact for the entire quarter. I don't know -- I don't have the number off the top of my head what the NIM would have been, absent Canada. Every quarter we have fee recognition on pay downs and payoffs of loans that can be rather lumpy and can skew the NIM number. I do think that going forward, kind of a 3.50% to 3.60% NIM is kind of a good number to use.
Jeffrey Paul Julien: Which is higher than we've guided in the past because both we had excess cash balance in the past and then we also didn't have this other portfolio.
Christopher Harris: Okay and on the pay downs, what is the average yield on those loans versus the new loans that you're originating today?
Steven M. Raney: Well it's really been -- when Jeff mentioned that in his comments, those pay downs that impacted provision were loans where we had higher reserves on them, so the NIM on those loans compared to what we're doing on a go forward basis, are approximately equal to one another. So no impact to NIM, but it does have an impact or its impacted us positively over the last few quarters in terms of problem loans, loans that we have higher reserves on paying down, getting good resolution on them, either paying down, restructuring, paying off entirely.
Christopher Harris: And then last question for me, real quick, on the Morgan Keegan transaction. You had mentioned that a little less overlap than you would have thought in the capital markets and so maybe fewer headcount reduction there. What are you guys assuming for how the environment is going to progress over the next year or so as you think about making your employment decisions or your headcount decisions in capital markets?
Paul C. Reilly: First, let me talk about the overlap. We had a significant overlap in the Equity Capital Markets business. We knew that going in. I think our coverage overlap was 86% or something. So we knew we had overlap coming in, but essentially, we ended up with more people than we thought, just good professionals and we kept all the good people we could in there. In fixed income, we were actually surprised. Again, still a good number of severed folks, but less overlap and what we want to do is we think that will, through a natural attrition,  fall a little bit. But we're trying to keep people on higher service levels. And assuming that the market -- you know our strategy over time has been to try to keep people in down markets, and we don't waste out and pay a lot to try to hire people in up markets so our focuses tend to -- to the extent we can, is carry them down, as markets are slower and they pick up we get the benefit of it. And it's been a strategy that's paid off well for over 20 years here being public. And I don't see any difference in our strategy right now.
Operator: Your next question is from Devin Ryan.
Devin Ryan: You guys had a nice quarter for SA hiring. So with the Morgan Keegan integration underway, I just wanted to get a sense of whether you guys are backed off of your hiring efforts outside of the deal or whether you can do both simultaneously?
Paul C. Reilly: Absolutely not. I think in the ECM fixed income business so we're not being as aggressive. We're hiring folks as we're still slotting people in because the size of those businesses and our position -- we are looking at spot hiring in those areas. But in the Private Client Group, we are hiring full speed. We find good people that willing to come in. And again, we're not leaders in transition assistance in the industry by a long shot, but we're continuing hiring. In fact, hiring pace has picked up as you can see in the quarter. Our home office visits have picked up, and we were concerned that the acquisition may slow that down but I actually think it's helped that people see that we're investing in the business, where we think we have a different model of being FA centric and with our advisers choice platform and we know we're -- we don't want to slow down in hiring. In fact, even Morgan Keegan is starting to hire again for the first time in a long time for them and now it's been resolved. So we will go with the market and continue to hire any time we can good people. We haven't slowed that down at all in the Private Client Group.
Devin Ryan: Does it feel like the competitive environment maybe has changed a bit? Cause I just know that a year ago, things were incredibly competitive and there was big upfront packages and so that put a little bit of damper on the ability to hire. So has that dynamic changed at all more recently?
Paul C. Reilly: The dynamic in that there's still big packages out there. The dynamic we've seen are people that have gone through mergers with packages that are wearing down. I just said, it's not the right environment for them. That's not a slam on the other firms, but there's a big difference between the way we operate and some of the larger firms operate in terms of process, financial adviser kind of freedom, the way we serve versus others. And I think that what's happened are people from -- who have served at some of those firms want to go back to an environment they were used to before, some of the consolidation began so that's been the main source of recruiting.
Devin Ryan: And then in regards to the Morgan Keegan integration, I appreciate all the update that you gave. It sounds like both revenues and expenses are trending ahead of original expectations. But I just want to dig in, specifically, on the expenses. Is there any change to your thoughts on the ultimate size of the cost saves, was they are fully phased in?
Paul C. Reilly: I think we take the same approach as first after 20 days, we're not declaring any victory so we have an early trend. As we've told you when we did the acquisition, we tried to budget conservatively and do better. So I'm hoping that we do get some cost savings or grow into capacity as we hire and that's been our strategy. That hasn't changed so, I think that there could be further cost savings in terms of percentage of revenue if the market grows or more cost reductions if we're in a flat market we will size it so to fit but our goal right now is to keep all good people and we get a little revenue growth. It's hard to find good people. Our model has been, keep service levels high, and hopefully we grow into the headcount that we have on both sides.
Jeffrey Paul Julien: Devin, it's going to be hard to really know what the savings are from rightsizing the support until we actually go through the integration of the Private Client Group next year. That's going to see a lot of support related to that operation. It's just a little hard to tell right now how it's going to look on a combined basis versus how we're handling it today.
Paul C. Reilly: But our goal is to keep their -- they've got some very, very good people. We want to make sure they have a home to the extent that works out on both sides.
Devin Ryan: Just last one for me, a question for Steve on the bank. Is it reasonable to expect there could be some more reserve releases going forward? And on the Allied Irish acquisition, I believe you mentioned a NIM of 8%, are you going to be hedging that portfolio from here? Is that a good number to think about going forward?
Steven M. Raney: Devin, we already have that hedged. That's a different line item. So the expense associated with the hedging or the impact of the hedging won't be reflected in the NIM. But it will be reflected in other expense items. So you need to factor in approximately around an 8% net interest margin in that portfolio. In terms of reserve releases, our bias is not to do that, it's obviously built loan by loan. We've had a lot of success over the last 18 months or so in terms of problem asset resolution in reducing our criticized loans. We remind you the last couple of years when we got the share national credit exam, we've had, last year was a relatively small, in fact it was a couple of million dollars. It was in the June quarter last year, the prior few years that it had been in the September quarter, we're actually trying to grow loans, which should, you know, should have provision expense and actually increasing our allowance through that process. But we were pleasantly surprised with the credit impact this last quarter and the credit improvement and the impact to our allowance to upgrades and pay downs.
Paul C. Reilly: Devin, I want to be clear, we didn't make any general reserve release. We had releases because loans paid off or paid down in the higher reserves too that it netted out. So this isn't a reserve release, it was a loan by loan result.
Jeffrey Paul Julien: But if you're asking where we have additional pay downs and things, I'm sure we will. But we also, like Steve said, hope to have net growth, which would replace it.
Devin Ryan: Okay, great. Just one last one on the expenses, the communications and information processing ticked up and I know that you did have some seasonal items there. Could we expect that to come down to more normal levels or levels that have been in previous quarters? Or are we at a higher run rate because of some more permanent expense increases. I think that there's some increased mailings, et cetera in this quarter that might have taken it higher?
Paul C. Reilly: I think just because of the time it occurred with statements and stuff there's increasing -- there's increased mailings. So technology is increasing as the spend, but there is, obviously, from a -- the mailings that come in a quarter, this is where we do get a big jump up and hit. So it's a little bit of both. It's not all there, but it is -- we are continuing to increase our spend in technologies.
Jeffrey Paul Julien: We've talked about that for the last several calls, I think, Devin. I mean, I think that technology's kind of reached a little bit of a new plateau here for the foreseeable future as we have a number of big initiatives underway, and some of what Paul has mentioned already.
Paul C. Reilly: So I can't back out the mailing expense for you right now. But we can -- it's a number we could look at.
Jeffrey Paul Julien: We don't think it's going to come down dramatically from these levels for a while.
Operator: Your next question is from Douglas Sipkin.
Douglas Sipkin: Just a couple of questions. One -- and I'm pretty sure you guys are going to refrain from giving more color, but I'm just sort of trying to look at Morgan Keegan revenues for March, I guess it was in the regions release and maybe now that we have -- that was sort of the last quarter before the close, how does that compare to what you guys are thinking. I know you guys are modeling a pretty decent sized drop off in sort of the run rate. I guess I remember it being sort of in that low $800 million range, does that March quarter shed any light, make you feel better, make you feel worse, just curious for your thoughts.
Paul C. Reilly: They had -- from what we've seen, they had a good quarter. So they had a very solid quarter, which makes us -- we'd rather -- except outside of paying for the net income, we actually like the fact that their business had a positive momentum also so exactly what the resulting revenue before the retention all settled out it's kind of harder to say but certainly they were doing better as they opened up than they were in December when be projected. And we tried to be conservative on retention and conservative on the revenue to the extent that the run rate is higher and our retention's higher, we should do better. But we'll let you know this quarter. So they do have positive momentum coming in.
Jeffrey Paul Julien: It was good to see.
Douglas Sipkin: And then with the Asset Management business, I mean,  continues to do very well. Strategically, any update on what you guys are thinking about that business. I know the strength historically has been small and mid-cap and I know you guys want more international and more large-cap. Any color on efforts there?
Paul C. Reilly: Our efforts continue. It's been very clear. We've been looking systematically at acquisitions and hired firms to help us with lift outs and niche acquisitions focused on the large-cap international spaces and are talking to folks but nothing to announce. So -- but we'll, in our normal Raymond James way be very methodical if we rind the fit, we'll close on it.
Douglas Sipkin: And then just last question, just curious with your increased size now, at FA headcount, have you already started to see maybe a little bit more negotiating power with some product providers? Or is it too early in the days for that? Or just not big enough of an increase in FA count that that's going to change things that much when you negotiate with firms?
Paul C. Reilly: Obviously, we think it will. We treat our -- we treat our --  we have partners in this business. So we have a dialogue and then we've got great relationships with them. Certainly, it hasn't gone unnoticed that our sales forces has increased. We also do some things that we think will put a lift to Morgan Keegan in terms of things we do with some of our partners in the business. So we will see some, we're sure. How much and how significant we don't know yet. But it will be a positive. I don't think it would be a needle mover on it's own. But there are a lot of little pieces that, that we do think it will contribute to this being a good combination.
Operator: And your final question is from Hugh Miller.
Hugh M. Miller: I just had a, I guess, a question for Steve, at the bank. I appreciate the updated guidance on the expected NIM going forward and I realize that the pay downs from some of the potential problem loans has a benefit there. But I was wondering in general for some of the pay downs for loans that aren't substandard or your nonperforming, are you guys benefiting at the margins for many prepayment penalties that may have been embedded in these loans?
Steven M. Raney: Yes, Hugh, what occurs is fees that we earn at closing actually get amortized over the life of the loan and if it was a 5-year loan and the loan pays off, restructures, pays down, other than what the scheduled repayment terms were, we take that as seasoned income. Now the portfolio is of the size now where every quarter we got fees that we don't expect to -- there are payoffs and pay downs that are not part of the scheduled payment structure. So we're recognizing fees every quarter, and it can be a little lumpy. This last quarter, it was a positive impact of the Canadian portfolio, even for that 1 month. The legacy domestic portfolio was about equal to, maybe even slightly lower than the December quarter in terms of pay downs. So our NIM gets impacted by that fee recognition, but each quarter, we're going to have some of that. We could run into a quarter were the NIM gets negatively impacted because we don't have any extraordinary -- or a reduced level of extraordinary pay downs or payoffs.
Jeffrey Paul Julien: I don't believe there are prepayment penalties in any of those...
Steven M. Raney: No, none of the corporate loans have any prepayment penalties. It's just fee recognition. Acceleration of unamortized fees.
Hugh M. Miller: Exactly. And that's just -- what I was trying to assess was that, that potential for pressure from there. For some reason you don't start to see the continuation of those pay downs. And then, within the loan portfolio growth that you were guiding to, kind of exclusive for some of these opportunities to purchase loans, 6% to 7%. I realize that the entrance into Canada is expected to be a conservative growth going forward. But how do you think about the target between domestic and Canadian growth in that 6% to 7% forecast? Obviously, it seems like the margin benefits for the Canadian exposure would be substantially more positive?
Steven M. Raney: Well yes, the new business in Canada will have net interest margins and the credit profile is very similar to the U.S. business. So I wouldn't anticipate heavier weighting towards Canada. I would anticipate it being -- right now there's about -- we have about $500 million in outstandings to Canadian-based companies. I would anticipate that percentage growing equal to the domestic business.
Hugh M. Miller: And I apologize,  because I hopped on the call late. But I think you were starting -- or you talked a little bit about the reduction in March average daily commissions versus February and I was wondering if you could just quickly mention again what was it that caused that to pull back more than what may have been expected?
Jeffrey Paul Julien: I don't -- I think you misheard that part. Commission revenues were up, I think, sequentially in all of our businesses really.
Hugh M. Miller: No, I was talking about the month of March on an average daily basis was kind of down for the run rate in February and I was wondering whether or not there was [indiscernible] or if it was kind of from an institutional side of the business or any reclassification or something like that?
Paul C. Reilly: Hold on one second.
Hugh M. Miller: And the last question I had was just with regards to -- obviously,  you've talked about retention kind of running in above your expectations for the Morgan Keegan deal. But I was wondering if you guys have given any updated insight into your expectations for the total percentage of the advisers that you anticipate will probably stick with the company?
Jeffrey Paul Julien: I think we told people that we kind of have this 90% kind of retention rate. From the original numbers we said 10% that we would lose and our redundancies and 10% of -- and loss just being unable to hold them. And I would just say the redundancies have been less than we thought and the fallout has been less to date. So obviously, retaining the revenue is the #1 goal and that's why we've gone very deliberate on expenses to keep service levels high and that hasn't changed. So we're ahead of where we thought we'd be. But we've been joined as a family now for 20-some days. So we're not going to declare a victory on the trend. So we're sticking by the estimates. We thought they were conservative when we made them, but time will tell. The other upside is their business is up. So that's obviously helping too. We acquired a business that had much better momentum than when we negotiated the purchase.
Paul C. Reilly: Hugh, I'm just looking, I'd say that total commissions were down slightly in March versus February.
Hugh M. Miller: I think that there were a couple of more days in March relative to February as well.
Paul C. Reilly: Per day basis is even -- I don't have an explanation. The only thing unusual that comes to mind other than we participate heavily on our own offerings.
Unknown Executive: I think it has to do with the number of days, because the assets -- the fee-based assets, are impacted by days of transaction, they're just a monthly number..
Hugh M. Miller: That's a good point. That's true. Okay.
Unknown Executive: [indiscernible]
Paul C. Reilly: There's nothing that happened in March. I mean if -- March and going into April has been an uptrend not a downtrend so...
Operator: At this time, there are no further questions.
Paul C. Reilly: Well great. I think that -- again, after a very solid quarter, which we are I'm proud of, of our folks that worked very hard to keep the business going and to welcome the Morgan Keegan people. The fit from a cultural standpoint is as good as we thought it was. And you have glitches and you have people changing jobs. This has been a challenge and will continue to be a challenge as people settle in. But it's gone much better than we thought to date. It's good to have an economic environment that gives us some tailwinds moving into the quarter. And we'll continue to slug it out here. So I appreciate your time on the call. Jeff, did you have something?
Jeffrey Paul Julien: We look forward to seeing most of you at our Analyst Day next week. Our annual Analyst Day...
Paul C. Reilly: And if some of you can't get there, we still have some slots open.
Jeffrey Paul Julien: So please attend.
Paul C. Reilly: Great. Well thank you all very much.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference call. You may now disconnect your lines.